Peter Kinnart: Thank you, operator, and welcome, everybody, on this earnings call for the Fourth Quarter Results 2024 for the Atlas Copco Group. My name is Peter Kinnart. I'm here together with Vagner Rego to present to you the results for the fourth quarter. But before I hand over to Vagner to start the presentation, I will already know, as usual, as you know, remind you that I would like to ask you, whenever we get to the Q&A session, that you would please refrain to only asking one question at a time in order to make sure that all participants in the call have the opportunity to at least raise one question. And of course, should there be more time then you're more than welcome to line up again in the queue to ask your next questions. So thank you for that in advance. And with that, I hand over to you, Vagner, on the Q4 earnings call.
Vagner Rego: Thank you, Peter, and welcome to this conference call. So in the first slide, you can see a portable compressor where we want to highlight a solid quarter for Power Technique. So if we then go to Slide number 2, our Q4 in brief, we had a solid organic growth in the quarter, 4%. Good service business in all business area. We are quite happy to see a continued service growth. Equipment orders were somewhat up. If we go a little bit more in details, industrial compressors were about flat and a notable growth for gas and process compressors, vacuum equipment flat, industrial assembly and vision solutions were down, and we had a significant growth for power and flow equipment, but it's also fair to say from a low level last year. So when it comes to revenue, we had a record revenue supported by currency and acquisitions as well, a record operating cash flow, and we closed 11 acquisitions. And I think it's interesting to say as well that basically all business areas have contributed with acquisitions. I could highlight a couple of them, like Metalplan for Compressor Technique, a compressor company. ESA for Vacuum Technique a leak detection and gas recovery system company. In ITBA, we acquired Air Way Automation, and VisionTools are supporting the automation strategy for the automotive market. And on Power Technique, we acquired Pomac that supply hygienic pumps. They all support the strategy, among others, in total was 11 acquisitions in the quarter. If we then move to quarter four, we see – we have already mentioned 4% organic growth. It was a good level considering Q4. Record revenues, but unchanged organically. When it comes to the profitability, we reached SEK10 billion and 21.8% profit margin. And there is no difference between the adjusted profit and the nominal profit. But there was some events as well in this adjusted profit margin that Peter Kinnart will come back later. When it comes to the basic earnings per share, we reached SEK1.6 and a record cash flow, like we mentioned before. If we then move to the Slide number 4, if we summarize the full year, we had solid orders received supported by acquisitions. We have solid, but flat organic growth, good support from acquisition of 2.1%. Record revenues, 2% organically, supported as well by acquisitions and a stable profitability. Orders for Compressor and Vacuum Technique, somewhat increased. Industrial Technique orders down for the year, driven by weaker demand from automotive industry. Orders for Power Technique were up, thanks to acquisition and growth for service in all business area. And in the full year, we have completed 33 acquisitions. And the Board has approved SEK3 per share in dividends that will be paid in two installments. Then going to Slide number 5. Full year, we reached SEK171 billion for the entire year and when it comes to revenues, SEK176.7 billion. So operating margin increased 3% and reached SEK38 billion and a profit margin in the year of 21.6%. So with a strong operating cash flow and basic earnings per share of SEK6.11 and good return on capital employed, slightly down mainly because of acquisitions. Then when we look to the different regions around the world, we can start with Asia, where we had a good development of 8% growth supported by Power Technique and Vacuum Technique. Then when we move to – and when we look into the countries, then you see China is still challenging in some areas, and some other areas, positive. And India, we see a positive development. When it comes to Europe, we had a good growth considering the situation, the conditions that we've seen in the market, is a positive development. Another two regions with the positive development is Africa, Middle East with plus 14% growth in the quarter and plus 49% in the year, has been a good contributor for our growth; together with South America with plus 23% in the quarter and plus 12% year-to-date, the full year of 2024. When it comes to North America, we see a flattish scenario. There are again, some good – some improvement in some market segments, but other market segments were rather weak in the quarter. And we end up the year at minus 4%. And then when we consolidate our growth, we can see that – we see a good development in this quarter with 4% organic growth, but it's also fair to say that it's against a low level last year. If we then move to the next slide. When we look to the sales bridge, we can see that we have achieved, like I mentioned before, we had 3%, structural changes; plus 1% currency impact in the top line; plus 8 – plus 4% organic growth. And at the end, we had 8% organic growth in the quarter. But again, we compare to a quarter that we were quite low last year. In the revenue, it was a very good level, close to SEK46 million – SEK46 billion, sorry, and a 2% total nominal growth. And we finalized the year with SEK171 billion in orders received and SEK176.7 billion in revenues. So, if we go then to the next page, we can see that now Compressor Technique is 47% of our total orders received in the last 12 months and had organic development in the quarter of 3%. Vacuum Technique is now 21% of our orders received with 2% positive organic growth in the quarter. Industrial Technique and Power Technique are about the same size now in the last 12 months. Power Technique supported by acquisitions and – for the 12-month figure with a good development in the quarter. And Industrial Technique was 16%, minus 5% growth in the quarter that – and they still see headwinds in the automotive market. If we then move to the next slide, talking more in details about – about the different business areas. We see Compressor Technique with 3% organic growth. The overall industrial market was flat. But on the other hand, we saw notable growth in gas and process compressors and a solid growth for the service business. I think that's the important one. We have deployed quite a lot of machines in the market, and we managed to continue to capitalize on the aftermarket business. Revenues were at record levels, 2% organic increase, and a solid profitability and a solid profit margin of 21.1%, supported by currency. But even if you remove currency, they remain in a solid level, negatively affected by acquisitions. Return on capital employed is still solid at 85%. And here, you can see another innovation, nitrogen generator, where you can increase the purity. This is a purify that can increase the purity of a nitrogen generator to three nines after 99%. So you can do on-site generation of nitrogen and also have a very high purity. So if we move to Slide Number 11, we have Vacuum Technique with 2% organic growth. Semi equipment orders, flat. Weaker demand for industrial and scientific vacuum, but solid growth for service especially for semi service. Revenues were down 10%, and that decrease has also an impact in profitability. The profit was 21.2%, the adjusted figure. Let's say, the reported operating margin was 23.4%, but it was supported by onetime item that Peter will clarify later in the presentation. Return on capital employed was 20%. And here, we can also see innovation, a new rotary vane pump for analytical applications again, focused on energy efficiency and noise level. If we move to Slide Number 12, we can see Industrial Technique with an order decline of 5%, weaker demand from the automotive industry, but also this quarter in the general industry. Good growth for service that we continue a good development. We had record revenues, so increased of 2% organic. Operating profit margin of 19.4%. And here, the adjusted figure is 21.2%. We have – we had some onetime effect related to restructuring costs, so – and I think the underlying profitability was 21.2%. Also slightly positively impacted by currency and negative mix effect with dilution from acquisitions as well. And here, you can see a return on capital employed at a stable level. And also, you can see an innovation from Industrial Technique where you combine tightening technology with also automation technology, you can see a screw feeder here that is specifically now for the brand disorder that we call eRapid, offering complete control and traceability in this screw feeding process. If we then move to Power Technique, we see a quite strong organic growth. Increased equipment demand versus low level from previous year. But it's always good to see our organic growth of 16%. It's quite notable as well, and good growth for specialty rental and the service business as well. Record revenues, up 5%, and operating margins at 17.8%, negatively affected by mix, product mix, and acquisitions. So return on capital employed of 18% impacted by the acquisitions. And here, you can see a new product now from one of the acquired entities. This is a pump that's just from one of the companies we have acquired called LEWA. So – and it's a pump that can – that was designed for high pressure application and 30% less space than comparable products and can be used in several applications, including in the marine business for different types of fuels for ships. Then we move to Slide number 14, then you can see the consolidated results and EBITDA, meaning adjusted only for depreciation of intangibles related to acquisition of 23.1% and operating margin of 21.8%. But if we continue to talk about the income statement, perhaps now it's your time, Peter, please?
Peter Kinnart: Okay. Thank you, Vagner. So net financial items are not really material in the total, but our net interest cost has been a little bit lower. Profit before tax ends up just south of SEK10 billion, which is 21.7% of revenues. Our income tax expense is SEK2.2 billion, which is, of course, a bit higher than last year. And that gives us an effective tax rate of 21.9%. And that, as you have noticed already, of course, is a quite low effective tax rate. That, I would say is in line with what we have seen over the last three quarters. In quarter two, we had quite a significant release of a provision related to a tax benefit that we were able to do at that time. And we had indicated at that moment that we would continue to release quarter-by-quarter some more of those provisions as the time progresses. And that is exactly what we are doing. And therefore, we have this low effective tax rate of 21.9%. For the first quarter 2025, we don't expect the effective tax rate to be at this low level actually. Usually, within the first quarter, the tax rate tends to be a bit higher due to the true-ups of tax provisions that are needed in view of the statutory reporting and the tax declarations that we are preparing. So there, we probably think we'll probably land at around 22.8% approximately, give or take a little bit, of course. And for the full year 2025, we also expect that it will be higher than this effective tax rate, although probably a bit below the 20.2% you see here, so more somewhere mid 22%, 22.5%, possibly over 2025 as a whole. With that, I will move to the next page. And I will dig into the profit bridge a little more. First of all, starting from 20.2% last year, the margin is increased by the fact that we have isolated the LTI programs. Net effect is SEK294 million plus. Then we have items affecting comparability. And as Vagner already alluded to, there is kind of a list of things that occurred during the quarter that we felt are kind of not really fitting into the normal quarterly comparison. First of all, we had the biggest part, both last year, Q4 as well as this year Q4, release or a provision of, in total, SEK671 million related to a commercial dispute that dates back many, many years before the current structure of the group, in fact. We released a little bit of that provision that we took last year, and the combination of the – building of the provision last year and the release of the provision this year adds up to SEK671 million. Then we also managed to finalize a management buyout in the form of an asset transfer. And for that, we have to take provisions of about SEK194 million. And then those two items were all reported under corporate. Then we have two other items which Vagner already mentioned. First of all, there was a recovery from an insurance claim, reps and warranties claim regarding to an acquisition that dates back several years as well. And there, we – VT managed to received SEK222 million. And on the other hand, we have within Industrial Technique, a restructuring cost, which we recorded in Q4 2024 of SEK134 million in order to basically adjust the structure of the business area and its divisions to the changing market situation. So that adds up in total to SEK565 million, as you can see on the bridge. The acquisitions were somewhat dilutive, which is, of course, something we have often reported on in the same way. We – in the first year, we tend to have quite a bit of initial costs related to IT security and other type of integration costs. But currency was quite positive. And there, I would say, the biggest impact on the currency effect was actually operating exchange differences coming from revaluation of balance sheet items, receivables and payables which are very difficult, if not impossible to predict, but affected the bottom line quite significantly. When it comes to the expectation of the currency effect for the next quarter or for Q1 2025, then we believe that in absolute terms, on the operating profit, the contribution will continue to be positive, although lower than what we have seen now, all things being equal, and we’d rather end up around roughly SEK400 million potentially. Again, also here, of course, give and take a bit. And then we will also need to see what the impact is of future balance sheet item revaluations because that is unpredictable. And then the last point on the bridge is then, of course, the organic development, which has been dilutive. And here, the reasons are, on the one hand, some volume drop, but also especially I would say mix and also continued investments in R&D and production capabilities. But actually, the picture on the profitability organic needs to be looked at from a BA perspective because each and every business area is quite different. And I would like to elaborate a bit on that in the next slide, Slide number 16. So to begin with Compressor Technique, as Vagner said, there is a negative impact from the acquisitions, dilutive effect from the acquisitions. The currency contributes to a certain extent, positively to the margin. And actually, the drop through is kind of in line, you could say, even slightly better than the margins in Q4 2023, meaning that there is a slight positive contribution to the margin organically. Then Vacuum Technique, first of all, I already mentioned that the SEK222 million as a onetime item, which adds quite to the margin, and that is also the reason why we chose to highlight the adjusted operating margin because it would, of course, otherwise give the impression that the margin is maybe on a very solid level. But due to the onetime – if you take away the onetime item, then it comes down quite a bit. Then we had a small impact from acquisitions, dilutive as in all the business areas, in fact. And then I think the biggest items here, obviously are, first of all, the currency, which is maybe not extremely, but in any case, highly or significantly positive. And that is a bit different from how it looks for the other business areas where there is, of course, generally a positive currency effect, but a bit more modest than what we see in Vacuum Technique. The main reason and I think I’ve tried to mention that also in earlier calls when we had similar but not quite as a high currency impact is the fact that especially the semi side of the business is basically a U.S. dollar-driven business. And that means that even if you are based in other parts of the world, whether you’re in South Korea, Taiwan, China, Europe or obviously in the United States, you will do your business mostly in U.S. dollars. While these entities, they tend to report obviously in their local currency, Korean won, British pounds, Taiwan dollar, et cetera, et cetera. So as a result of that, the relative weight of U.S. dollar receivables for external customers as well as intercompany, and the exposure to suppliers, both intercompany and external is largely in U.S. dollars. And as a result, they are exposed much more than the other business areas to these currency revaluations on the balance sheet. As I said, that is done at period end rates. So those are very difficult to predict before the – at the beginning of the quarter. And sometimes, of course, they can play out quite hard, which is the case this quarter for Vacuum Technique. On the other hand, we have then, on the drop-through for the organic side, quite a negative impact. And that, of course, obviously deserves a few words of clarification as well. First of all, from the top line, of course, you can see that there is a significant drop in volume in the revenues. So the revenue volumes, first of all, have an impact on the bottom line as all costs are not equally variable to the revenue development. And as a result, we have a slightly higher cost base. Secondly, we also have continued significant investments in research and development in order to renew our product portfolio and to also broaden in different directions, different applications. And last, but not least, we have mentioned it also many times over the last years, there's a lot of investment that went into new facilities across the globe. We have expanded a lot in South Korea. We have done the same in China. We have done obviously a lot, especially in the United States, and we're actually still doing some of that. In the current moment where the volumes are on the lower side and the appetite for investments from the big players and some of our customers is maybe a little bit more subdued, we, of course, are not fully able to absorb all the costs of those investments. And as a result, we are a bit exposed with a higher fixed cost than we used to have, while the revenues at the same time are going down. So I think those are the main components of the organic explanation. Revenue volumes down, investment in R&D, and production capacity that we have been building up, and that is currently not yet yielding the right level of absorption. Then I move to Industrial Technique. Here, as I mentioned, restructuring costs that are affecting the bottom line. Also here, acquisitions, to some extent, dilutive and then also a much more modest positive currency effect for Industrial Technique then for Vacuum Technique. And then last, but not least, organically, basically flat, you could say. If you do the calculation, you will see that the drop-through is even slightly higher than it was in Q4 2022, 2023. So as a result, there is a very minor positive impact. But if you round it, it'd be basically zero. For Power Technique then, here, no onetime effects just acquisitions that are dilutive. And of course, in their case, it's a bit more important considering the high volume of acquisitions they have done, a very minor positive currency effect and then a negative – or a low drop-through compared to the margin in Q4 2023, and that is then fundamentally due to the mix where especially the equipment business has done quite well, taking good orders, but the profitability on the equipment, as you know, is lower than it is on the rental and the service business. And that is basically the reason for that. So I think that summarizes all the different effects on the profitability bridge. Then I will move to the balance sheet on Page 17. Here, I can be quite short. I think the main contributions here of the change in total is about basically acquisitions. Biggest chunk is there in the intangible assets. The currency also has a positive impact on the balance sheet, increasing the value overall across all the different lines. But then if you look at organic development, then I would say the two things that – three things that stand out. On the increase of the fixed assets, of course, investments in higher fleet as well as in production capabilities, the cash that has increased. And then finally, on a positive note as well, the reduction of the inventories, on face value, it looks very flat, but actually organically, taking away acquisitions, taking away currency, there is quite a positive development of the inventories now. With that, I move on to the cash flow. And also here, the operating cash surplus for the quarter is quite stable. A little bit more taxes paid in absolute terms but especially to be highlighted is the change in working capital that contributes SEK1.7 billion to the increase of cash flow. And I think that, in essence, summarizes the operating cash flow grew by SEK1.1 billion this year. For the year, we've added SEK8 billion almost to the cash flow, and that is entirely due to the change in working capital. And with that, I would like to hand over again to you, Vagner, for your comments on the near-term outlook.
Vagner Rego: Thank you, Peter. If we look to our near-term outlook, just to remind you, it's not a forward-looking statement. It's a sequential guidance. And it's also not a projection of our orders received for next quarter is our best way to estimate the customer activity level for the next quarter. So if we look to the scenario, we don’t see too many changes. The uncertainties remain in the market. And we don’t see anything indicating a dramatic upswing or a dramatic downswing in the customer activity for the first quarter of 2025. And then if we exclude seasonality, currency and large orders and combining with the external environment and the internal input that we have also from our business areas, we come with this guidance that the customer activity will remain at the current level. And then if we summarize the quarter, once again, we had good organic growth. Good growth for service in all business areas. Equipment orders, somewhat up. Record revenues and record operating cash flow. And with that, I’ll transfer now to Peter to talk about the earnings and dividends.
Peter Kinnart: Thank you, Vagner. So this is then the last final topic on this agenda for the presentation and just indicating to you also with the graph here that we have reached SEK6.11 per share profit and that we will pay out close to 50% of that to the shareholder, which is SEK2.8 – SEK3 per share compared to SEK2.8 per share last year, which means that we continue to grow the dividend also this year. Just in practical terms, it will be paid in two equal installments. The payment date for the first installment will be May 7th and the payment date for the second installment will be October 24th. And with that, we close the presentation. I’m sorry if I was a bit lengthy on the explanation, but I thought the profitability deserves maybe a few extra words to hopefully help you understand better what has occurred. With that, we can start with the Q&A. And once again, I would like to ask you to please refrain yourselves from asking more than one question at a time so we can answer the maximum questions possible to all of you. Thank you.
Operator: [Operator Instructions] The next question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi. Good afternoon. Thank you for taking my question. I have a couple, but I’ll follow the rules. So the main question for me would be following up on what you were explaining on the bridge in terms of like the footprint and the R&D investments, of course, the volume is very clear, or it is. Can you perhaps give a little bit more color in terms of, particularly on the footprint investments? On which stage are we now? Are these sort of like plans there are still in the early stages of developing and investment? Is this something that we should think about it’s mostly done and we’re moving to a more normalized time from here in terms of the impact this could have and similarly on the R&D, sort of extra R&D, if you could give us a little bit of color of how far along are we in this step up?
Peter Kinnart: Yes. Thank you, Daniela. Appreciate the question. When it comes to the manufacturing footprint, I think largely, we have done what we plan to do. I think if you talk about Korea, China, also partly in the U.S., I think we have done quite a lot of investments over the last three, four years. Even there is one activity, which is ongoing, and that is this plant in West New York, Buffalo, which – where we did the groundbreaking middle of the year and where we’re gradually continuing to work. But that is the last one. On some of the other facilities, we have not necessarily used the entire capability or capacity of the plants, which means that we have not fully equipped it with machinery. As we have mentioned in earlier calls, we have, in some cases, actually ordered the machinery. And by the time we have received them, we thought that the market was – the dynamic was changing. And as a result, we actually sort those machines so-called not bolt the machines in order to make sure that they are well preserved, but that we do not need to start the depreciation process of those fixed assets, for example. There is no huge expansion of capacity to be expected. The only thing that is currently still ongoing, I would say, is the facility in West New York, Buffalo. Otherwise, we have basically concluded everything we wanted to do. And given the current business climate, we do not see any reason to, to continue and to speed up any further capacity expand. Then on the R&D. There, I think it’s a matter, of course, having a healthy pipeline of projects for all of our different divisions within the business area. Of course, it’s crucial for our profitability, considering that it’s all about pricing power related to technological advancement. As we always say, R&D is our biggest asset to be able to get value from the customer. And therefore, especially in this segment, where it is really difficult to get price increase [ph] any other way, considering the high concentration of [indiscernible]. Therefore, this R&D is absolutely crucial. And of course, in order to continue to have this position to compared to our – compared to our competitors, sorry, we need to continue to, let's say, shoot from all barrels when it comes to R&D to make sure that we are ahead of them.
Daniela Costa: Sorry, just to follow up on this because the two elements are inside, I guess, the slightly – the impact on operating leverage all in. Is the R&D or the footprint more significant given one is going to continue and the other, it looks like it's behind us.
Peter Kinnart: Yes. I think that is hard to exactly identify. I think what we know is that the footprint that we are not able to fully utilize the capacity we have. That being said, of course, from a long-term perspective, we continue to be equally optimistic and bullish about the trend for digitalization and automation. And that's [indiscernible] will definitely benefit from. So there will be a moment when this capacity is desperately needed. And having this footprint on different parts of the globe will definitely help us to capture that market share that we need in order to continue to boost that market.
Daniela Costa: Got it. Thank you.
Operator: The next question comes from Andrew Wilson from JPMorgan. Please go ahead.
Andrew Wilson: Hi Justin, thanks to taking my question. I just wanted to pick up on the comments you made around demand and order trends in China. You sort of alluded to some markets having remained challenging, but then I think sort of implied that others were maybe looking a little bit better or were still looking good. I just want to try and clear up if you could kind of help us a little bit on what verticals, I guess, remain challenging and what remains – or looks a little bit better? And maybe what's changed? Just a bit of color around that would be great, please.
Vagner Rego: Yes. We don't change the outlook when we said before, the demand for auto is weak. I think we see – we don't change that. We saw a better quarter because we managed to get some new accounts that we didn't have. And we also got some orders, because I think we have been communicating that we want to go into this automation journey. I mentioned early in the presentation two acquisitions that have been materialized in the quarter related to Air Ways and VisionTools. They're all related to increase the value that we sell to automotive companies. And we saw some materialization of that in Asia this quarter.
Andrew Wilson: Thank you very much.
Operator: The next question comes from Michael Harleaux from Morgan Stanley. Please go ahead.
Michael Harleaux: Hello, good afternoon and thank you for the presentation and thank you for taking questions. I was just wondering if you could help us understand what kind of seasonality we should take into account for Q1 2025? Thank you.
Vagner Rego: Yes, I think here, we don't have an exact figure, but you need to look historically what has happened between Q4 and Q1. So, there is always – in terms of volume, Q1 is always higher in terms of activity level. Q1 is always higher than Q4. Last year in Q4 normally, we see a lot of activity to manage to invoice what we have in the pipeline a little bit lower when it comes to customer activity, quotation and the demand for our products. So, I think you need to look back into what has happened historically, then you will have a good reference. It's not exact because we have the key account. When we mentioned these activity level, we also exclude currency impact and some key account orders that sometimes happens. I think that's also important. That's why it's difficult to come up with the exact figure on that.
Michael Harleaux: Okay. Thank you very much.
Operator: The next question comes from Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Hi, thank you. Hi Vagner and Peter, it Klas at Citi. So I want to come back to the last question. I know you're not guiding on orders, but I still want to discuss this a little bit. Over the long run, your orders are up around 10% quarter-on-quarter into the first and after COVID, this development was much stronger, over 20% growth on average fourth into the first. And we had strong growth in LNG, battery manufacturing, battery electric vehicles. We had a couple of years where we had exceptionally strong growth in Power Technique from the rental guys. Yes, rental is coming back. We likely see strong growth into the first. But Vagner, when you look at LNG, battery electric, both manufacturing and vehicle, what are you seeing here in the short term? Are things getting worse from here? Or do you see any stabilization? I'm trying to understand if the quarter-on-quarter development sort of should converge back to the long run versus the last couple of years? Thank you.
Vagner Rego: I think we – what I mentioned, if we put all the segments together, we say – we said that the activity level will remain the same. I think this reflects as well in different market segments. When you have all of them together, there might be one segment better than other, depending on the reason. If I look Q4, it was weak for LNG in Asia that has been historically strong, but it was weak in Q4. It’s very difficult to say what’s going happen in Q1 depending on the region and the market segment. But we see that – for instance, if I could give you a little bit more color, we had the definition of the election in the U.S. that was a big point of uncertainty. But after the election, we didn’t see a big change in the activity level. I think the underlying activity, if we are going to have more orders for LNG or not, this has not been translated yet in request for quotation, so on and so forth, still to be seen.
Klas Bergelind: And what about battery manufacturing, sorry, a very quick follow-up. Are we seeing some negative – I’m not talking about battery liquid [ph] vehicles. I’m talking about battery manufacturing, some negative news flow here about closures and so forth. Has that gone weaker, Vagner, both in CT but also in Vacuum Technique on the industrial side? Thank you.
Vagner Rego: Yes. It’s still the same level. I think we said that would be – it was weaker. I think it’s still. We had some good development in industrial vacuum in Asia but it was more relate because they have a good exposure for lithium ion battery in Industrial Technique in the industrial vacuum. It was a good quarter, but it’s more related to the chemical industry and not really to the lithium ion battery production.
Klas Bergelind: Thank you.
Vagner Rego: You are welcome, Klas.
Operator: The next question comes from Andreas Koski from BNP Paribas Exane. Please go ahead.
Andreas Koski: Thank you. Thank you very much and good afternoon. Question on Vacuum Technique. Again, a quarter with a quite low book-to-bill of 0.85 and it’s been below one for 10 consecutive quarters. So in my view, it looks more likely that revenue will decrease in the near term. So we saw a very strong organic drop-through in Q4 of close to 70%. And it sounds like we should continue to expect a high drop-through also going forward because of the investments in R&D that you’ve taken. Taking away FX from the bridge, and I don’t know if you think it’s fair to do that, but you get to an underlying margin of around 16%. So what I would like to understand is if you have now consumed your backlog and revenue should come down to the order level in the coming quarters and if that happens, should we expect a continued high drop-through and the risk that we could see mid-teens margins? Or can you offset the organic revenue decline in Vacuum Technique? Thank you.
Vagner Rego: Yes. Perhaps I could start and Peter can also support on that. What we see – I think you have done the calculation excluding the currency and there is an impact but we also have done – have announced some restructuring activities in previous quarter. This is underway, but those activities, those restructuring are in Europe and it takes more time to execute. We still should see some benefit coming in the P&L from these activities – from these restructuring activities that is happening mainly in Germany, so.
Peter Kinnart: Yes, maybe to add to that, I think a good analysis, Andreas, on this orders on hand book-to-bill. Of course, after the mountain of orders we have been sitting on for a long time, we’ve gradually depleted that. And of course, now the order on hand level is significantly lower than that. Of course, whether that will automatically mean that revenues will go down significantly in Q1 depends a lot on what kind of orders we will take. Now the benefit we have is we have the capacity. We also have short lead times. So whenever a customer order now, we can deliver very, very quickly. And so if orders come in during Q1, then we will also be able to deliver those most likely and as a result, generate revenues for that. And of course, that being said, Vagner also mentioned the restructuring plans. Also there, we will need to continue to evaluate like we always do, agile and resilient to see whether our current structure is fit for purpose. And depending on how things work out, we evaluate what needs to be done further.
Andreas Koski: Understood. And are you now discussing or having active discussions with your customers? Is the order pipeline strong and you could see strong orders in Q1?
Peter Kinnart: I don’t think we can comment really on the details of our discussion with customers. But of course, we have a very active sales force. And we are constantly talking to our customers to make sure that we are at the negotiation table. I think that’s the very first essential thing to be. You need to be there to talk to the customer when he wants to order. And that is what we are trying to do now to make sure that we are there when the customer wants to increase the capacity.
Andreas Koski: Very clear. Thank you very much.
Peter Kinnart: You’re welcome, Andreas.
Operator: The next question comes from James Moore from Redburn Atlantic. Please go ahead.
James Moore: Yes. Hi, everyone. Thanks for the time. And I wonder if I could come back to the same question as Andreas. I too come to the calculation that excluding 550 bps of FX, the Vacuum margin would be 15.8%. And I guess I really want to ask is 16% the new normal once the currency benefits drop out? Is that how we should think about a baseline margin for FY 2025 in Vacuum? I take your points on savings, but I imagine that those are relatively small amount, but if you would like to help us with the savings should add 100 bps, 600 bps whatever the savings were that would be very helpful? And the other aspect of the question, if I could, is on the currency. Peter, I take your point. I understand what you're saying. Would you be able to help us with how much the SEK580 million was from normal year-on-year translation transaction? I'd have thought it was only SEK100 million and that the bulk, roughly SEK500 million must therefore be from these Q-on-Q balance sheet revaluation items. Is that the fair way to think about the magnitude of the number in the quarter itself?
Peter Kinnart: Well, thank you, James, for the question. I think first of all, on the last question or the last part of the question with regard to the currency, I think I tried to explain exactly more or less what you said. I think the amounts, I think can vary. I don't think I can give you a more precise amount on each of those components. But I think the point I tried to make was that compared to the other business areas, the Vacuum Technique business area is much more exposed to this U.S. dollar, mostly revaluation towards British pounds, Korean won, Taiwan dollar, Chinese RMB, et cetera. And as a result of that, we see a very significant impact of operating exchange differences in the quarter due to the period-end exchange rate, the strengthening of the dollar basically. And that is what we see while the other impacts are then by definition, of course, significantly smaller. And then it would be probably more similar to what we see in the other business areas, potentially. And of course, that is an estimate because in the end, it all depends on the exact countries, exact currencies and how these currencies are behaving vis-à-vis each other. And then I think on the orders on hand, I don't think I can answer anything different than what I try to say to Andreas before. I think, again, you could say that we are, of course, a bit more exposed than we used two years ago when we had this big orders on hand. We are, of course, more dependent on getting new orders in, in order to make sure that we get the invoicing. But then it depends, of course, on what customers individually decide to do in what kind of shape they are themselves and how they see the near future in view of their different activities out there. So I think it all depends on how active the customers will be and how many orders they will place. And if they bring in good orders, then I think we will be able to also have good invoicing. If, of course, the orders would be significantly lower, let's say, then of course that would impact the revenues as well.
James Moore: Sorry, but the core of the question was, is 16% margin the new normal for 2025? Is that a fair way to think about it?
Peter Kinnart: Well, from our perspective, it's definitely not a fair way to think about it because this is not the margin that we are happy with to begin with. So of course, we are doing everything we can to make sure that we can turn the ship and make sure we are finding calmer waters to sail in and to continue our journey to capture the orders from our customers. So this is exactly where our agility is required and where we need to make sure that we adjust to the situation as quickly and as well as possible. So this is not the new normal. This is not something you need to put into your model for the next three years as being the baseline margin for Vacuum Technique, I think.
Vagner Rego: Yes.
James Moore: Thank you, Peter.
Peter Kinnart: Welcome James.
Operator: The next question comes from Benjamin Heelan from Bank of America. Please go ahead.
Benjamin Heelan: Yes. Thank you. Vagner, a question for you. I think you made some comments at the beginning about North America and seeing some improvements in some markets segments. Could you expand on that a little? As you – as you move into 2025, can you talk about some of the businesses and what you're seeing from a customer demand perspective and what you're expecting for 2025? I'm primarily focused on Compressor and Power? Thank you.
Vagner Rego: Yes. Thank you for the question. What we see, the overall Compressor market, the Industrial Compressor market was not so strong. I think we saw a good development, mainly because of gas and process compressors. We saw some orders on – related to gas and process coming from air separation market, onshore LNG, carbon capture application we saw in Q4. We need to see how this market will evolve now going forward. But Industrial Compressors was down especially because of large compressors. We saw a little bit less projects compared to the year before because the year before we had more orders on oil and gas and battery manufacturing as well. Then it – when it comes to the portable equipment, we saw quite good or meaning Power Technique. We saw quite good development for portable compressors compared to Q4 2023 where rental companies did not invest so much. We saw some positive signals there. But this, again, more connected to as well to a quite low level in Q4 2023. There is still some growth. And then we saw good progress in industrial plants with business improvement somewhat for us. You know that we have now – we also communicated that we have created a new division called industrial flow division within Power Technique, and they have also, let's say, a mature customer center dedicated now for industrial flow that we saw good development and a good growth in service in both divisions for compressor equipment, but also for power equipment as well.
Benjamin Heelan: And just a quick follow-on. Should we generally be expecting these trends to continue?
Vagner Rego: Yes, we will see how Q1 will unfold. We normally get a higher order intake in the U.S. coming from the rental companies. But we don't know how the negotiations will go, Q1 2024, because normally we get huge orders and some cancellations towards the year. We don't know if that will materialize that way in Q1 2025.
Benjamin Heelan: Okay. Great. Very clear. Thank you.
Operator: The next question comes from Sebastian Kuenne from RBC. Please go ahead.
Sebastian Kuenne: Yes. Hi and thank you for taking my question. My question is related to the semiconductor end market. You mentioned that you see – or you saw flat demand year-on-year, but that also the current demand level is somewhat subdued and that you don't see any need for raising CapEx or even filling the remaining capacities that you had built in 2024. So, can you speak a little bit about the momentum that you see specifically from the semi clients and what the tender activity is in that market? Thank you.
Vagner Rego: Yes. If I understood well the question regarding to semi and the demand, perhaps what we can further comment here is that we had a quite good development in Asia overall in the countries where you have the semiconductor market in Asia, and that includes China as well. Also there, we had a good development. But all – in all the countries, in Asia, all countries with semiconductor activity, we had a good development. Europe, which has a smaller contribution for the semi was weak. But the one that was quite weak, and we were down minus 26% in that region was North America in the overall vacuum. And that includes semi as well. We sell quite a lot of hesitation in that market in North America.
Sebastian Kuenne: Thanks. Momentum wise do you clearly remain cautious on the whole semi end market. You didn't expect any growth for 2024 and you repeated that follow-up call at the end of you, if you view for 2025 similarly then?
Peter Kinnart: I'm sorry, Sebastian, it's really hard to understand. I think the quality of the call is really bad. I mean we can take one more question from...
Operator: The next question comes from Anders Roslund from Pareto Securities. Please go ahead.
Anders Roslund: Yes. I was just interested in the Power Technique. What do you see in end demand there? Is it only destocking being reversed? Or is it – it could it be prebuy in the rental segment and less in the Q1? Or is it some sort of market move there? Is it construction related? Or how should we see on this strong recovery?
Vagner Rego: Yes. I think the first thing that we need to look is the level that we had in Q4 2023, was a quite weak level, considering that I think the first consideration actually. But then we had good orders in Q4 2024 coming from rental companies in North America and also in Europe but also industrial flow was quite positive, I must say. We got a FPSO order that is quite relevant that has quite a big impact as well. So, it's not only about rental. I think the industrial flow market was also developing quite well.
Anders Roslund: Okay. Thank you. That was all from me.
Peter Kinnart: Thank you, Anders, for your question. With that, I have to apologize...
Operator: Next question comes from Rory Smith from Oxcap. Please go ahead.
Peter Kinnart: No, I'm sorry, I think we need to cut the call here, unfortunately. But of course, anybody who has any more questions left is welcome to contact our IR department, who's very committed to respond to all your questions. So again, apologies for maybe taking too much time for the presentation, but we thought it was important to try to explain in more detail the profitability situation. With that, I would like to thank you for joining the call and hope to talk to you soon face-to-face or in one of our meetings. Thanks very much, and have a nice day. Bye-bye.